Operator: Ladies and gentlemen, thank you for standing by and welcome to Canaan Inc's First Quarter 2025 Earnings Conference Call. At this time all participants are in a listen-only mode. After the management prepared remarks, we will have a question-and-answer session. Please note that this event is being recorded. Now, I'd like to hand the conference over to your speaker today, Ms. Gwyn Lauber, Investor Relations Director of the company. Please go ahead, Gwyn.
Gwyn Lauber: Thank you, operator. Hello, everyone, and welcome to our earnings conference call. Joining us today are our Chairman and CEO, Nangeng Zhang; and our CFO [Jin] (ph) James Jiang. Leo Wang, Vice President of Capital Markets and Corporate Development and Xi Zhang, Senior IR Manager, will also be available during the question-and-answer session. Our CEO will start the call by providing an overview of the company and performance highlights for the quarter. Our CFO will then provide details on the company's operating and financial results for the period before we open up the call for your questions. Before I begin, I would like to refer you to our Safe Harbor Statement and our earnings press release. Today's call will include forward-looking statements. These statements include, but are not limited to, our outlook for the company and statements that estimate or project future operating results and the performance of the company. These statements speak only as of today, and the company assumes no obligation to revise any forward-looking statements that may be made in today's press release, call, or webcast, except as required by law. These statements do not guarantee future performance and are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors and documents we file with the Securities and Exchange Commission, including our most recent report on Form 20-F for information on risks, uncertainties, and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss both GAAP financial measures and certain non-GAAP financial measures, which we believe are useful as supplemental measures of the company's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or an isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures including reconciliations with comparable GAAP results in our earnings press release, which is posted on the company's website. And finally, please note that during the call, all dollar amounts refer to U.S. dollars. With that, I will now turn the call over to our Chairman and CEO, NG Zhang. Please go ahead.
Nangeng Zhang: Thank you, Gwyn. Hello, everyone. This is NG, the CEO of Canaan. Thank you for joining our conference call. Our CFO James and I are pleased to share our first quarter 2025 results and the recent developments from our headquarters in Singapore. In the first quarter of 2025, the global bitcoin mining industry faced serious macroeconomic challenges. In February 1, the US President signed an order under the International Emergency Economic Powers Act, IEEPA, imposing a 10% tariff on goods imported from China. This tariff was raised to 20% in early March. Then in April, the US further announced a 10% universal tariff on imports from all countries, along with higher reciprocal tariff, targeting selected nations with tariffs on Chinese goods reaching as high as 145%. In response, China imposed up to 125% tariffs on US goods and introduced non-tariff measures, including export controls. These developments caused major volatility in global markets. As a result, the bitcoin price dropped sharply from about $104,000 at the end of January to $76,000 in early March. Before slightly rebounding to around $85,000 in late March. Despite the sharp price swings, the total network hash rates rose from 795 exahash per second to 856 exahash per second. This combination of falling bitcoin price and the rising hash rate significantly compressed miners profit margins. Entering the second quarter, the bitcoin price dropped again to $74,000 in early April, but gradually recovered. The data of our earnings conference has risen back above $100,000, gradually reflecting bitcoin's value as a safe haven asset. We have seen clear signs of recovery in global demand for mining machines, except in US market. Due to the 10% universal tariffs imposed by the US on imported goods, and even higher reciprocal tariffs on some countries. Both Canaan and our competitors now face at least a 10% extra duty when shipping mining machines made in Southeast Asia to the US in addition. Fast-changing policies have created a great deal of uncertainty and confusion in actual custom operations. In some cases, the effective tariff rate has been even higher than 10%, and the customs enforcement standards and clearance times have been impacted. Since the value of bitcoin is globally unified, this has led to higher mining costs and greater uncertainty for American miners compared to miners in other regions, which has significantly surpassed mining machines' demand in the US. We have observed that many US listed mining companies are adjusting their business models and accelerating their transformation towards AI and high performance computing businesses. Amid complex and rapidly changing market environment, our team still delivered a solid operational performance. In the first quarter, we achieved total revenues of $82.8 million, exceeding our previous guidance of $75 million. This represents 136% year-over-year increase and demonstrates our strong execution and resilience across global markets. The first quarter of 2025 is traditionally a slow season. However, thanks to the continued large-scale delivery of our A15 series mining machines. We achieved 5.5 exahash per second in total computing power sold during the quarter, up 62.6% year-over-year. With sales revenue exceeding $58 million. This includes ongoing deliveries of large pre-sale orders to public mining companies such as HIVE. With the new generation high performance A15 models becoming the main driver of shipments, our average selling price per terahash significantly increased to $10.5 per terahash, representing a 30% sequential growth. In overseas markets outside of North America, we are seeing continued growth in demand from regions such as Asia, South America, and Africa. We have made tangible sales progress in these areas. Our Avalon Home Series of mining machines for individual consumers also achieved encouraging progress in Q1. Following the launch of several new models in this quarter, we generated $1.3 million in sales revenue and delivered around 6,000 units. In spite of summer approaching in Northern Hemisphere leading to a gradual decline in indoor heating demand, our Avalon Home Series, which features steel functionality of mining and home heating, steel sells well. This was beyond our expectations. We have ramping up production to ensure timely delivery. That's May 18th, 2025. We have sold a total of over 17.6000 units year to date. With total order value reaching over $6.6 million. Our self-mining business delivered strong results this quarter, with a total of 259 bitcoins mined, up 39% quarter-over-quarter. This was mainly driven by the continued growth of our energized hash rate and the optimization of several project partnerships. Our operational computing power increased from 4.75 exahash per second at the end of 2024 to 5.97 exahash per second by the end of March 2025. However, with higher average bitcoin price during the quarter, our mining revenue reached a record high of over $24 million, marking a 59% sequential increase. Thanks to our competitive electricity cost of $4.2 per kilowatt hour. We maintained a solid mining gross margin of 31% in Q1. By the end of the quarter, the number of bitcoin owned by the company reached 1,408, setting a new record. We continue to steadily deploy more hash rate, and by the end of April our total deployed computing power reached 8.15 exahash per second. Notably, in the US, we fully deployed 3 exahash per second across four projects. Alongside the mass production and delivery of our A15 series, we have continued to work closely with our foundry partners on technical optimization. As a result, chip yield now exceeds 90%. Compared to the initial last year, overall machine performance of A15 series has improved by 15%, while power consumption has been reduced by 10%, effectively lowering the cost per unit of mining power -- computing power. We have also introduced more advanced products across various cooling technologies, including hydro and emergent cooling. One recent example is our new A1566 [HA] (ph) hydro cooling model, which delivers close to 500 terahertz per unit and better energy efficiency than the air-cooled machine. An outstanding product in the industry. Looking ahead, our next generation A16 series has successfully completed takeout in the first quarter. The corresponding products will be officially launched after full machine testing, and they are expected to deliver significant performance upgrade. On the production and the logistic front, our diversified geographic deployment over the past few years, especially the establishment of manufacturing capacity in Southeast Asia, has helped cushion the impact of recent US tariff adjustments. Starting at the end of Q1, we set up a pilot production line in the United States and successfully completed trial production. This means our US-based manufacturing progress is now essentially up and running. While the current production cost in the US is relatively high, we believe taking this step holds strategic value. It allows us to be closer to the US market and our customers, while also reducing supply chain risks. We are now actively exploring the possibility of building a larger scale manufacturing facility in the US and identifying ways to significantly lower production costs, aiming to make US-based manufacturing commercially viable. This quarter, we mentioned we maintained stability in our operations, with key indicators showing further improvement. Supported by higher ASP and continued growth in our mining operations, we achieved positive gross profit for the first time since the bear market began nearly two years ago. While focusing on R&D investment, we also continue to enforce this aligned expense control in our daily operations. As a result, our general and administrative expenses decreased by 39% quarter-over-quarter. This has narrowed our operating loss by 32% quarter-over-quarter and by 45% year-over-year to $37.6 million. Although bitcoin price declined by approximately 12% from the end of previous quarter, lead to a fair value loss in cryptocurrency assets of $16.3 million. We remain committed to our bitcoin holding strategy. As we strongly believe in the long-term appreciation potential of the asset, we are also pleased to see that. As of today, bitcoin has returned to about $100,000 level. On the balance sheet side, with the large scale production of our A15 series underway, we have started to build up some inventory of new products to ensure uninterrupted deliveries. For the end of March, the company maintained a healthy cash balance of approximately $100 million. In addition, we took advantage of the price pullback in bitcoin during the first quarter to further strengthen our crypto holdings. We purchased 27.46 bitcoins at an average price of $83.6000 per bitcoin. At the end of April 2025, the total number of bitcoins held by the company reached 1,424. Looking ahead to the coming quarter of 2025, we are actively adjusting our focus across key markets and setting up our sales efforts. But now we have secured a solid pipeline of 815 orders with delivery booked into June. We are also continuously coordinating our production capacity between self-mining and fulfilling customer orders based on evolving market demand. That said, the new series of US tariff measures introduced in the first quarter and still ongoing have brought considerable execution risk and uncertainty. So far, demand from North American customers remains under pressure with no clear sign of recovery. In the capital market, uncertainty has also impacted the stock performance and fundraising activities for many U.S. listed mining companies. Other results, customers in U.S. have generally adopt a wait and see attitude towards orders. We have observed delays and adjustments in some orders currently under negotiation and in delivery schedules. Additionally, certain joint mining projects have faced increased costs due to import tariffs, which could delay the pace of hash rate deployment. Given the ongoing volatility in the global political and economic landscape, the company has decided to withdraw its previously issued full-year revenue guidance, as well as the mining hash rate deployment targets for the first half of 2025. Until there's a greater clarity in the overall environment, we will focus on pivoting to respond to market fluctuations. To further insulate our business from the current uncertainty, we are actively shooting our self-mining strategy to pure global expansion opportunities that align with our long-term growth objectives. We are confident in our ability to identify and collaborate with experienced partners, both within and beyond North America, enabling our act to scale efficiently and maintain operational excellence across diverse markets. Our track record of success outside the United States includes our operations in Ethiopia, where we recently reported an impressive average uptime of 98% during the first quarter and 95% uptime in April despite minor power disrupts early in this month. These results reflect our team's ability to navigate local challenges, while maintaining high performance and reliability. In the near term, the company is adopting a more cautious approach to expectations for the second quarter of 2025. We currently anticipate revenues of approximately $100 million for Q2. This forecast is based on the current market and operational conditions. However, given recent policy uncertainties and market volatility, actual results may differ from these expectations. In response to recent market developments, including the US tariff measures on our share price, we believe that our current stock valuation is significantly below companies' intrinsic value and the long-term growth potential. To address this disconnect and enhance shareholder value, we are actively evaluating a range of strategic interactives, including a potential share-repurchase program. These interactives are currently under review and may be subject to approval by our board of directors. Any implementation will be conducted in full compliance with all applicable laws and regulations. We will keep the marketing informed of any material developments through subsequent announcements. Amid a complex and rapidly involving macro and industry environments, we remain focused on technology and product innovation, strengthening customer service and advancing our global strategy as we prepare to address more opportunities and challenges ahead. This concludes my prepared remarks. Thank you everyone. I will now turn the call over to our CFO James. Thank you.
James Cheng: Thank you, NG. And good day, everyone. This is James, CFO of Canaan. I'm very glad to share our quarter one financial results with you today. As NG stated at the start of the call, in quarter one, especially, February and March, the bitcoin mining industry faced challenges as miners' profit margins were squeezed by the bitcoin price volatility and the higher total network hash rate. Despite volatile market conditions, we delivered solid performance results. Let me give a quick summary of our financial performance. First, driven by the growth in the computing power sold and average selling price, total revenue reached $82.8 million, exceeding our $75 million revenue guidance and up 136% year-over-year. Second, our mining operations grew steadily, fueled by the combined growth in the deployed mining capacity and average bitcoin price in the first quarter. Our mining revenue reached $24 million, up 132% year-over-year, with 259 bitcoins mined, up 33% year-over-year. Next, due to product iteration and mass delivery of the A15 series, our average selling price rose to $10.5 per terahash per second in the quarter, resulting in a return to gross profit. It's the first time in two years amid the bear market. Last but not least, our cash balance remained flat sequentially. We continued to manage cash in a prudent way and streamline our expenses to make sure strategic items are prioritized. Turning to our profit and loss for the quarter, total revenue was $82.8 million, beating the guidance by $8 million. Mining revenue contributed $24 million, increasing 132% year-over-year. We mined 259 bitcoins in the quarter, a year-over-year increase of 33%. This increase was primarily driven by more computing power installed at our mining sites, which reached 6.6 exahash per second at the end of the quarter, increasing 22% from the end of last year. Now turning to product revenue. Revenue from machine sales was $58.3 million, an increase of 149% year-over-year. We delivered a total computing power sold of 5.5 million terahash per second, representing a year-over-year increase of 63%. The first quarter of each year is typically our seasonally lower quarter due to the impact of the New Year and the Lunar New Year holidays. However, the mass delivery of A15 series in this quarter drove the major year-over-year growth in both mining machine sales revenue and computing power sold. More than 19,000 A15 mining rigs were delivered in quarter one, contributing $45 million to the mining machine sales revenue and 3.9 million terahash per second to the computing power source. In addition, driven by the mass delivery of our A15 series, the average selling price, or we call ASP, rose to $10.5 per terahash per second, up 53% from $6.9 per terahash per second in the same quarter of 2024. Turning to the revenue from our Avalon Home Series. In quarter one we delivered approximately 6,000 units of our Avalon Home products, contributing revenue of $1.3 million. From the beginning of 2025 to date, we have already received orders for more than 17.6000 units of Avalon Home products, with a total amount of $6.6 million. As I mentioned earlier, due to the product iteration upgrades and the higher A15 delivery volume, gross profit turned positive, reaching at $0.6 million in the quarter, the first time since the start of market downturn two years ago. Turning to the expenses, our operating expenses totaled approximately $38 million compared to $31 million in the same period of last year. Please note, $2.4 million of disposal gain on our self-mining rigs was recorded in the first quarter of last year, which correspondingly offset the overall operating expenses. Excluding this non-routine impact, the operating expenses increased $5.7 million year-over-year, mainly due to the increased staff cost and R&D expenditures, including the staff we added for the development of our consumer-level mining products and mining solutions. By the end of this quarter, the price of bitcoin decreased to around $83,000 versus around $95.000 by the end of 2024. The decreased bitcoin price on the last day of the quarter resulted in an aggregate unrealized fair value loss on crypto assets of $16 million. Encouragingly, the recent appreciation of bitcoin price has reversed these unrealized losses. In total, we recognized an adjusted EBITDA loss of $38 million, narrowed 47% year-over-year. In March 2025, we issued 100,000 Series A-1 preferred shares with the gross proceeds of $100 million. Additionally, the third tranche of the Series A preferred shares issued in quarter three 2024 was still recognized as a convertible liability at fair value by the quarter end. This financing incurred an excess of fair value over proceeds received and fair value changes. This non-cash accounting treatment hit our Q1 bottom line for total $33 million. In order to represent our performance more accurately and more comparably, we excluded that impact of this accounting treatment from our non-GAAP measures. Turning to our balance sheet and cash flow, at the end of quarter one, we held cash of $97 million on our balance sheet, remaining stable compared to the end of quarter four. In quarter one, we generated $51 million of cash inflow from sales, received $21 million from secured loans, and $18 million from export VAT refunds and we paid $88 million for production and operation. We also paid $144 million to secure our wafer supply, primarily funded by the proceeds of a $100 million from preferred shares financing and $42 million from ATM financing. Now turning to our bitcoin assets. Bitcoins held as our own holding asset increased in the quarter, reaching a record high of 1,408 bitcoins as of March 31st. This is 115 coins more than our 1,293 coins at the end of last quarter. On March 31, 2025, the fair market value of our owned bitcoins totaled around $117 million, and our holdover gain was approximately $49 million higher than the original value of the bitcoins that we gained from mining or other operations. With the bitcoin price rebounding to over $100,000, the current market value of these crypto assets stands at approximately $147 million. As of April 30, our total bitcoin holdings increased to 1,424 as already disclosed. Turning to fundraising, as mentioned earlier in March 2025 we closed the Series A-1 preferred shares financing with the gross proceeds of $100 million. From the end of 2024 to February 19, 2025, we utilized the ATM for fundraising with net proceeds of $42.5 million. These financings have been reported in the previous quarterly release. After that, we have not done any fundraising. We have also mutually agreed with the investor to terminate the agreement for the second tranche of Series A-1 preferential of another $100 million, effective April 30 2025. As NG mentioned, the recent market dynamics, including US tariff hikes, have seriously impacted our stock price. We believe our current stock price is undervalued and disconnect from long-term growth potential. We are actively evaluating strategic initiatives, including a potential share repurchase program to enhance our shareholder value. We will remotely disclose relevant material developments in subsequent announcements. By the end of quarter one, 900 bitcoins were pledged for the secured loans with an aggregate carrying value of $45 million, which we believe is in a reasonable interest level, and 100 bitcoins were transferred into a fixed term product with a guaranteed minimum annual return. The secured loans enable additional liquidity, which we will use to fund our production expansion and operations. In the future, as part of our HODL strategy, we will explore more ways to increase capital liquidity through our owned crypto assets. Please note that the bitcoin's pledged or transferred into fixed-term products are recognized as crypto currency receivables in our balance sheet and the classification between current and non-current assets is consistent with the periods of corresponding secured loans or fixed term products. Given the prevailing wait and see sentiment among North American customers and postponements in our mining project deployment caused by the significant uncertainties surrounding tariffs, we cautiously expect the revenue for the second quarter to be approximately $100 million. This concludes our prepared remarks. We are now open for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We will take our first question. And the first question comes from Kevin Cassidy from Rosenblatt Securities. Please go ahead.
Kevin Cassidy: Yes. Thanks for taking my question. Congratulations on the good results considering the market. I wonder, considering the market, if you could give a description of what happened with your ASP, what the equipment pricing trends were through the quarter as bitcoin prices went down. Do your ASPs per terahash come down with that or do they hold up? And if you can, can you give an idea of what to expect in the second quarter?
James Cheng: Yes. Thank you, Kevin. I think from ASP perspective, in quarter one, we have already seen the ASP climbing up to $10.5. I think there are several reasons behind to support that. One thing is, the market sentiment in early quarter one, especially January and early February was quite good. The demand was very strong. And the second reason behind that is our A15 series got a very good feedback from the early stage customers in quarter four. Then a lot of customers ordered in quarter one and we have to identify the orders urgency after doing some price raising during that time. So I think that's in the early stage of quarter one. And also we still have some clearance on the older generation products like A14 in quarter one. That makes the quarter one’s average price still lower than $11, which give us some room in quarter two to further develop our average selling price. Even I think in April, the market sentiment was not good, but our locked contract sales price in April and May still higher than previous selling price of A15 series. And we don't have much A14 inventory in quarter two. That makes average selling price continue to have chance to improve in quarter two. Until now, I have no final numbers for quarter two, but I'm very optimistic about the quarter two average selling price development. But from long-term perspective, looking at quarter three and quarter four, now if U.S. market demand is so under pressure because people are still wait and see the tariffs surrounding all kinds of policies, I don't think we have a clear answer about quarter three and a quarter four market demand, especially for United States, the leading country. So with that assumption, I could only be cautious about the future development of average selling price. I should say, it could be flat with quarter two or even a little bit lower if the bitcoin price not higher in quarter three. But currently, I think quarter two's average selling price could be better. That's something we have already -- have some confidence. Does that answer your question Kevin?
Kevin Cassidy: Yes. Your made it very clear. Thank you, James. And maybe just a follow-up to that. A lot of bitcoin miners have employed a strategy to use their access to power for HPC or AI hosting. How is this changing your TAM for your equipment?
Nangeng Zhang: Hi Ken, this is NG. I think I can -- I will answer this question in short. I believe you are correct. Some customers have redirected their power towards the emerging AI and HPC applications. However, in my view, this effort appear more like experimental quick fix than strategic solutions to the underlying challenges. This is my personal view. Thank you.
Operator: Thank you. We will take our next question. Your next question comes from the line of Michael Donovan from HCW. Please go ahead.
Michael Donovan: Hi, NG and James. Thank you for taking my question. This is [Michael Dab] (ph) on the call for Kevin Dede. Now, I understand you're not offering guidance for the full year for 2025, but can you add more clarity about expansion plans for self-mining?
Nangeng Zhang: Yes, I think before the US tariff policies was implemented, we have already shipped a batch of mining machines to US for our self-mining. So our North American self-mining projects is still moving forward in quarter one and two. In April alone, we add over 1.5 exahash of new installed capacity through our partnerships with Luna Square and the [Mousen Hosting] (ph) in Pennsylvania and Texas. With this, our total deployed global hashrate reached 8.15 exahash with 6.2 exahash per second actively running. We managed to maintain competitive all-in power cost of just $4.04 for [indiscernible] hours across our manual operations, which shows the effectiveness of our focus on high quality partnerships and our long-term global deployment strategy. Because the situation in the US, I think outside North America, our projects outside North America shows strategic value. In Ethiopia, our joint mining operations have us avoid geo-politics and regulatory uncertainty, while extending the equipment's life cycle and leveraging low-cost, efficient local power. In Q1, the local project achieved a strong 98% machine uptime. Even though there is a small scale power disruption in early April, our partner responded quickly and the uptime for the month, the fee reached 95%. It's above the industry average. Looking ahead, I think we will continue to stay at [indiscernible] globally, optimizing our partnership models and technical development – deployment. We are actively reviewing our options for skill up existing projects and talking with new sites developments. Thank you.
Michael Donovan: Thank you, NG. That's helpful. I want to follow up. I know it may be too early to tell, but has the 90-day tariff truce resulted in an increase in rig orders for May versus April?
Nangeng Zhang: Yes, I think for the tariff stuff, yes, I think, the US raised import tariffs by at least 10% across most major economics. This affects US miners, I think, in two key ways. First, the tariffs add at least 10% to the cost of imported mining machines. This applies not just to us, but to all of our peers in the industry. Second is, there's also tariffs to power-related infrastructure and other equipment needed for building mining farms. So for us, there are two impacts. First is the higher import cost, a slowing down purchase from US customers. Second is, some of our own planned mining deployments in US have been delayed due to the increased import cost. Because bitcoin doesn't carry a made in label, so this bitcoin price once again breaks through $100,000 recently. And with slower deployment progress in US, the global hash rate growth has been more moderate in Q2. So that created opportunities for miners outside the US, especially in regions with energy cost advantages to expand and earn more mining rewards. So what we are doing is to actively use our global sales network to capture these kind of opportunities and close more deals. At the same time, we have already built a solid mining presence outside the US and we are now evaluating expansions and exploring new projects partnerships outside US. So this allow us the flexibility to allocate many machines between sales and our own mining projects, depending on the market conditions.
James Cheng: Yes, my [indiscernible] here, Michael. I think April, the sentiment was very bad from the market, from the customers. In May when bitcoin price climbed back people's sentiment will be better. But in the reality perspective it's all 10%. This 10% will be a kind of solid, included extra cost, no matter from infrastructure perspective or machine perspective, be bared by the miners, which makes the US miners a little bit less competitive compared to rest of the world. So that's something we cannot ignore in current stage, but let's see how it goes after 90 days closed, then we can know an answer after that, what kind of tariff on Southeast Asia, including Malaysia, Thailand, and in certain cases, other countries in Southeast Asia. Just my two sense.
Nangeng Zhang: I think there's another add-on on this question. From current operation data, we are roughly in the middle of Q2, right? The number of orders we have in non-US regions is basically equal to the volume of the entire Q1 non-US regions orders. So from a practical point of view, sales in other regions are indeed linked to the recovery of the bitcoin price. However, US region we have not seen any improvement in sales. [indiscernible]. Thank you.
James Cheng: Thank you, Michael.
Operator: Thank you. We will take our next question. Your next question comes from the line of Mike Grondahl from Northland. Please go ahead.
Mike Grondahl: Hey guys, thanks a lot. Could you give us some insight into what you would need to see? How much lead time you need for orders for 3Q or 4Q to be better than 2Q.
Nangeng Zhang: Sorry, you are asking about the machine lead times or machine sales, I guess. I think we started the mass production of our A15 in second half last year. And during that time, I think most of the customers have -- it's a little bit suffering, I think. It's about three to five months for the lead time. But currently, we are building up some inventories. So if you order today, I think our pipeline is expected to get machines in June. So that's about six to eight weeks lead time. It's much better. And we -- I think for the lead time issue, it's about the demand and the supply. If everything goes well, I think we can expect that the lead time is between one and two months.
Mike Grondahl: Got it. And in terms of CapEx the rest of the year, what's a good range for your committed CapEx or even growth CapEx the rest of the year?
James Cheng: Mike, I can answer this question by two ways of spending. The first way is, we have to build up our wafer supply part. This can be considered also as a kind of a inventory and also can be considered as a kind of CapEx in machine sales business. The other side, we also do our self-mining operation. In that side, the only CapEx we invest in current business model is the machine. So overall speaking, all the CapEx is related to machine, wafer supplies, wafer preparing. Putting this together, I think we have already built up a kind of inventory for quarter two and quarter two. We just mentioned the cash spending in quarter one was like $144 million for wafer. And I can tell you in quarter two, we continuously invest in this part. So for the full-year perspective, it will be adjusted according to the demand and supply. It's a kind of rolling forecast process. For every six months, we have to monitor the market demand and then place orders from the wafer supplier and also manage our cash flow. So in terms of the full year, now I don't have a quick answer to you, but what I can say for overall wafer supply perspective, it can be like this between beyond $400 million, something even above that. It's not only CapEx for self-mining, but also the wafer preparation for the whole machine sales part. And to be very honest, it is closely linked to the full year revenue because all the wafers can turn into machine sales revenue or self-mining revenue eventually. So we didn't provide the full year guidance. We still need to monitor the status of the tariff and other policies. So with that assumption, currently I don't have a fixed answer for this total CapEx spending, but to be very honest, it will be higher than $400 million in year 2025. That's something in my mind. I don't know if I answered your question, Mike.
Operator: Thank you. We will take our next question. Your next question comes from the line of Bill Papanastasiou from KBW. Please go ahead.
Bill Papanastasiou: Good morning, and thanks for taking my questions. Just a quick one for me, and apologies if it was already touched upon. Acknowledging that the tariff landscape has brought significant uncertainty, just curious as part of your evaluations with respect to ASIC manufacturing, is there any capacity to shift a portion of your manufacturing to the United States to limit the impact of heightened tariffs? What does management think the best option is here?
James Cheng: [Multiple Speakers] Yes. That's a difficult question.
Nangeng Zhang: Let me see. Yes, I think we have -- Yes, I think we just mentioned, we already deployed for – since late Q1, we have started a small scale trial production in the US. The process works, but manufacturing in the US, that doesn't mean everything from refining sand to build wafers, aluminum to heat sinks, and iron ore into machine cheeses, it's all done in the US. In practice, I think during our operation, we found out that it's extremely complicated to do proper tariff planning for all imported materials. I think we already manufacture the PCBs and do the SMT sorting inside US. And also, the policy environment is changing almost every day. It's very costly. So our internal goal -- I think that the number today we got is have no sense. It's absolutely nonsense. But our internal goal is to limit the overall cost, increase of US-based production to no more than around 15% to 20% compared to like, meaning Malaysia. We are working hard to reach that target. I think the schedule will not be earlier than the tariff stuff get stabilized.
James Cheng: Yes, adding some colors to this question is it's all about cost reductions and it's all about economics of this thing. If the demand is not going up from the United States, then it will be a painful process if we build up a factory there and our customers they didn't order a lot then it will create problems for us. I think on the other hand, if the tariff thing has been solved with some good results from Southeast Asia, then we don't necessarily to build up the manufacturing in United States. So it's a kind of dilemma. It's all about demand and supply. So if our customers would like to have us Made in USA for this machine and also our cost structure can cover like, as NG said, less than 15% to 20% higher than Malaysia, then we should consider doing manufacturing in the United States. But if US market demand is not that high, for us it's difficult to amortize the cost into every single unit of machine, then we don't do that. So it's kind of quite uncertain yet, but our supply chain is the best team inside the company. They would like to do some pilot run, which is very successful. But I think in the future, it still depends on the economics calculated together inside of the company. Bill, I don't know if we answered your question. Yes, I think so. Thank you, Bill.
Operator: Thank you. [Operator Instructions] And the next question comes from the line of Nick Giles from B. Riley Securities. Please go ahead.
Nick Giles: Thank you, operator. Hi, NG and James. Just wanted to go back to how you're thinking about site acquisitions, whether or not the tariff landscape is really increasing your desire to add more sites in the US, and whether it's increasing your desire to pursue HPC or AI, kind of where do you stand there. Thank you very much.
Nangeng Zhang: Thank you, Nick. So far, I think all the sides and sides we are involved in, we haven't seen major changes in energy prices. Things have remained quite stable. Looking ahead, I am quite optimistic. Policy changes in the US may unlock more energy supplies in the future, which could improve the outlook for power availability over the long term.
Nick Giles: Yes, thank you.
Operator: Thank you. We will take our next question. Your next question comes from the line of Joe Flynn from Compass Point Research and Trading. Please go ahead.
Joe Flynn: Hi. Just based on the comment regarding the CapEx spend of $400 million for ultimately just kind of wafer costs. I was curious, like, with the uncertain kind of macro environment and the [indiscernible] of US customers who were receiving strong pricing ultimately in exchange for, the ability to secure higher volumes of wafers. Have you looked -- how do you, I guess, like, think about those relative to each other going forward? Because based on those numbers, it seems like you're still ultimately buying your allotment. That's like more true to being a take-or-pay or already paid to deposit. Any other color that would be helpful.
Nangeng Zhang: I think you're asking about the [Technical Difficulty] our supply chain side.
Joe Flynn: Yes. So, I mean, how can you guys just continue to spend $400 billion in the wafers if ultimately your strategy going into this year was to increase your demand in the US, extend versus pre-payments?
Nangeng Zhang: Yes, I understand. I think we continue to maintain strong and long-term partnerships with our wafer foundry partners. At present, I think the [indiscernible] is still manageable. And we are locking in production capacity through prepayments. I think as I mentioned earlier, our current wafer in progress is sufficient to support our production through Q3. Given the recent sales slowdown, then expected in the beginning of this year, I think the inventory could actually carry us to Q4. This is also helped by our process optimization efforts. That means we can get more hash rate from a certain number of wafers. We are watching the market very closely. In my view, if the US tariff policies not goes away, just everyone believe it is stabilized then and the market expectations become clear. I think the US market will recover. And if the market comes back, the bitcoin price is another historical high. It's very possible in a few months, I think. I think the tech market financing channels will be open to our customers. So there is a real chance that the mining machine supply could quickly fall short of demand. And if we observe that kind of smell, we will put more orders to our foundry partners. And I think they still have capacities for the end of this year.
Operator: Thank you. As there are no further questions, I'd like to turn the call back to Gwyn Lauber for any closing remarks.
Gwyn Lauber: Thanks everyone for joining us today. If you have any further questions, please feel free to reach out to us with the contact information on our website. Thanks very much, everyone.
Operator: Thank you. That concludes the call today. Thank you, everyone, for attending. You may now disconnect.